Operator: Good day, ladies and gentlemen, and welcome to your Agilysys Fiscal 2014 Third Quarter Conference Call. At this time, all participants will be in a listen-only mode. (Operator Instructions) And now, I would like to turn it over to your host, Jim Dennedy. Please go ahead sir.
Jim Dennedy - President and Chief Executive Officer: Thank you, John, and good afternoon everyone. We appreciate you joining us on the call today to review our fiscal 2014 third quarter results. With me this afternoon is our Chief Financial Officer, Janine Seebeck. Before we get started, just a quick reminder that we’ll be discussing some non-GAAP metrics on today’s call, primarily adjusted operating income from continuing operations and adjusted income from continuing operations, which eliminate the effect of restructuring and other items that are either non-cash or non-recurring. Reconciliations to GAAP metrics are provided in the financials of the press release issued earlier today. With that, let me start by commenting on the results for the quarter and year-to-date followed by a review of our growth in investment initiatives. Total net revenue for our third fiscal quarter of 2014 was $26 million versus total net revenue of $28.2 million in the comparable prior year period, a decrease of 8%. The year-over-year decline in third quarter revenue was driven primarily by a decrease in sales of lower margin remarketed products. Our third fiscal quarter of 2013 included $3.2 million of above average remarketed products revenue, which did not repeat in 2014 normalizing the outside contributions remarketed product sales represented in our third fiscal quarter of 2013. Total revenue for our third quarter of 2014 would have indicated an increase of approximately 4% while year-to-date total revenue would have increased by approximately 8% led by an increased participation of higher margin support, maintenance and subscription revenues in our revenue mix. The revenue mix shift to higher margin proprietary product sales and subscription revenues is evident in the gross margin improvement in both the third quarter and first nine months as fiscal 2014 third quarter gross margin improved 590 basis points to 60% and year-to-date gross margin improved 470 basis points to 64%. The margin improvement made more gross profit available on lower revenue for both the third quarter and year-to-date in fiscal 2014 versus the same period the year ago. Janine will comment further on our margin performance during her more detailed review of our financial results. On the expense front, we remain committed to strong capital discipline, which includes thoughtful balance sheet deployment, efficient use of working capital and careful operational expense monitoring. Operational expenses, which include product development, selling and marketing, general and administrative and depreciation expense, decreased in the quarter by approximately 2% when compared to the third quarter of fiscal 2013. Our third quarter and year-to-date results reflect the parameters that guide our business maintaining capital discipline and pursuing the highest value growth opportunities as we deliver solutions to transform the guest service experience to create lasting connections with our customers and for our customers with their guests. While our results for our third fiscal quarter indicate a deceleration of revenue growth, the growing recurring revenues and the gross profit performance year-over-year driven by our substantially expanded gross margins reflect significant strength in the business. We remain steadfast and being selective in how we compete and grow. This means that from time-to-time our strategy may not yield favorable headline results for year-over-year comparison on the quarters as we focus more on building longer term strength within the business to better position us to capture growth opportunities in our core and adjacent markets. We see opportunities to grow in each of the segments we serve today and we see continued penetration within our existing customer base to sell multiple solutions with an increase in customers using more than one solution compared to a year ago. The continued expansion of both the commercial and tribal gaming segments together representing approximately 50% of our total revenues offered strong growth opportunities as reflected in our third quarter results, which included a large sale to the Comanche Nation of Oklahoma to incorporate InfoGenesis and Visual One at four of their casinos and the beautiful Comanche Red River Hotel. We see continued opportunity to increase our market share in managed food services as evidenced by our continued customer wins including Banner Health and Fairbank’s Memorial Hospital, who completed a new full install of InfoGenesis. So as this segment which includes the food service management companies, stadiums, arenas, higher education and healthcare looks to consolidate. There will be opportunity for us to increase our penetration and grow the business from 29% of our total revenues it represent today. The hotel and resorts segment representing approximately 17% of our total revenues offers robust growth potential particularly on the strength of the U.S. hotel market, which is expected to see several more years of improving occupancy rate and revenue per available room. In addition, we see incremental growth opportunity in the European and Asian markets where business is expected to remain strong. Our third quarter results reflect this opportunity where the Cheeca Lodge & Spa continues to grow it’s partnership with us in this important segment. This stunning resort which has been a destination for luxury travelers for more than 50 years added InfoGenesis Mobile to their InfoGenesis and Visual One investment to further enhance the guest experience at this legendary gem in the Florida Keys. The cruise ship segment, which represents approximately 40% of total revenues, offers incremental additional opportunities as the industrial supply growth looks to increase modestly through the additional of higher value offerings as many of the major cruise lines look to spin off their weaker performing ships to achieve higher yields and higher margin. And in the restaurant segment, we continued to enjoy new customer win by Crazy Pita who selected InfoGenesis for its busy location in the heart of Las Vegas as well as our recent agreement with the Famous Rainbow Room in New York City. This New York City icon has entrusted their business to Agilysys and selected InfoGenesis, Eatec and Visual One accounting and club management that help them deliver their services they have been known for since 1934. While we had several significant wins in terms of bookings as just discussed, several of the important wins were substantially large in size and scope. Their size makes it somewhat impractical for our customers to take delivery of all their ordered system upon execution of the contract. Working in partnership with our customers on these larger sales, we established a rollout schedule to accommodate the implementation and go-live schedules. As a result while these important customer wins represent a great financial opportunity for the company, the contract terms and accommodated implementation schedule do not provide for a favorable accounting treatment of the contracted business in the current fiscal quarter. We believe we made the best decision on these matters in the interest of our customers, our shareholders and our company. The favorable market trends and our discipline in pursuing the highest value opportunities for our business gives us confidence we are realizing the benefits of our more focused business, stronger balance sheet and improved operating structure. This confidence gives the business courage and pursuit of our growth initiatives by making important investments in our business to improve the quality of service that we provide and by pursuing select acquisitions to advance our product roadmap and expand our market reach. Through our investments in innovation and cooperative business approach we see more opportunities to deliver increased value to the markets we serve and longer term beneficial results for the company. With that, I would now like to turn the call over to our CFO, Janine Seebeck, who will review our financial results. I will then provide some additional insight on the business before opening the lines for questions. Janine?
Janine Seebeck - Chief Financial Officer: Thanks Jim. Let me begin by reminding everyone that results of our fiscal 2014 third quarter along with historical periods presented in our press release and discussed today reflect the classification of the company’s former retail solution group as a discontinued operation following the sale of that business on July 1, 2013. Beginning with the income statement, our quarterly revenue decreased 8% year-over-year to $26 million from $28.2 million in the prior year period. The decline in the third quarter revenue was as Jim mentioned earlier the result of a decrease in lower margin, remarketed product sales in the third quarter of fiscal 2013 that did not repeat in the current year period. This is reflected in the 30% decline in product sale compared to the third quarter of 2013. That said we are pleased with the way our product mix is trending. Professional services revenue increased 7% from $3.5 million in the third quarter of fiscal 2013 to $3.7 million in the third quarter of fiscal 2014. More importantly, support, maintenance and subscription revenues of $13.6 million, grew 11% in the quarter from $12.2 million a year ago on the back of strong subscription services and proprietary product support sales. We are very pleased with these results. As expansion in the recurring portion of our revenue is very important to the long-term growth and health of our business, it now represents over 52% of our total revenue compared to 43% in the same period last year. Turning to gross margin, we saw an improvement of 590 basis points to 60% in the third quarter of fiscal 2014 compared to 55% in the prior year quarter, primarily driven by the favorable product shift noted earlier. Going forward we expect margins for the fourth quarter of fiscal 2014 to remain close to our historical levels of around 60% as we continued to place into service certain capitalized software assets associated with recent and projected product releases. Operating expenses, which include product development, selling and marketing, general and administration and depreciation expenses decreased 2% from $16.3 million to $16 million. Product development costs decreased approximately 3% from $6.3 million to $6.1 million, but as a percentage of revenue increased to 23% compared to 22% a year ago. Consistent with our strategy, overall spend in this area continues to increase as we capitalized approximately $4.3 million of software development costs for future use in the third quarter of 2014 compared to $1.5 million in the prior year period. You will notice increases in amortization as well as in asset impairment charge this quarter. These are the results of a long-term strategy we have implemented in order to replace our current ERP system with a more cost effective solution that will yield us additional operational efficiencies going forward. The amortization expense increase will continue until we are live on our new ERP software in the first quarter of 2015. And we saw adjusted operating income from continuing operations improved by $800,000 year-over-year to $300,000 reflecting the progress we are making on the back of the recent sale of our retail business and strategic shift towards the hospitality focused business. Adjusted income from continuing operations of $200,000 or $0.01 per diluted share compared favorably with an adjusted loss from continuing operations of $800,000 or $0.03 per share last year. Loss from continuing operations for the quarter of $2.1 million or $0.09 per diluted share compared to a loss from continuing operations of $1.1 million or $0.05 per share in the prior year period. Taking a brief look of the results for the first nine months of fiscal 2014, total net revenue increased 3% to $77.1 million from $74.8 million in the comparable prior year period. As was the case with our quarterly results, year-over-year revenue comparisons for the first nine months reflect the impact of lower margin remarketed product sales that were higher in fiscal 2013 than in fiscal 2014. In absolute dollars, gross profit improved 11% or $5 million to $49.3 million for the first nine months of fiscal 2014. Gross margin for the first nine months of fiscal 2014 was 64% versus 59% in the comparable prior year period on the back of an 8% increase in higher margin recurring revenue. Operating expenses increased 3% to $48.2 million in the first nine months of fiscal 2014 from $46.8 million a year ago. Adjusted operating income from continuing operations improved by $4.1 million to $2.6 million up from an adjusted operating loss from continuing operations of $1.5 million last year. Adjusted income from continuing operations of $2.4 million or $0.11 per diluted share for the fiscal 2014 nine months compares favorably with an adjusted loss from continuing operations of $2 million, or $0.09 per share loss for the first nine months of fiscal 2013. Loss from continuing operations for the first nine months of fiscal 2014 was $2.3 million, or $0.11 per diluted share compared with a loss from continuing operations of $5.2 million, or $0.24 per share in the prior year period. Moving to the balance sheet and cash flow, cash as of December 31, 2013 was $96.4 million and we are pleased to see improvements across our net cash used in continuing operations, where we had an $8.8 million improvement compared to the 9-month period ended December 31, 2012. And on a sequential basis, we saw expected improvement in our adjusted cash used in operations showing positive operating cash flow for the third quarter of fiscal 2014 primarily driven by the timing of annual support billings keeping us on track to achieve full year breakeven to slightly positive adjusted operating cash flows in fiscal 2014. Total deferred revenues, which include both paid and unpaid balances, increased 9% to $32.1 million at December 31 compared with $29.3 million at March 31, 2013. This increase is consistent with our focus on higher margin proprietary products and subscription service sales. With regards to our NOLs, we currently have approximately a $155 million for which we can attribute a full valuation allowance and which will help us keep our cash taxes limited to taxes paid in foreign jurisdiction along with minimum state taxes for the foreseeable future. Overall, our third quarter results continue to reflect the ongoing transition in our business and clearly point to the potential our hospitality focused business holds as exhibited in our ability to deliver improved operating results, year-over-year gains in gross margin, and significant improvement in our adjusted operating income from continuing operations. Our results also reflect a disciplined approach to capital deployment and the continued health of our balance sheet, which is well-suited to support our business and long-term growth. Despite our optimism and the continued improvements across many aspects of our business, we are revising our revenue outlook primarily as a result of the timing associated with certain customer driven contracted opportunities as Jim touched on earlier, where revenue cannot be fully recognized in the period in which the bookings occurred. We now expect our reported growth rate to be in line with or slightly below the expected annual growth for the industry of 5% to 7%. We are, however, reaffirming our expectations of generating positive adjusted operating income from continuing operations for fiscal 2014. As we move ahead, we are excited with our planned investments around further leveraging our existing client base, expanding our penetration in the end markets we serve and building our product portfolio. We remain confident in our business and our ability to continue making improvement in our operations. With that, I would like to turn the call back over to Jim for review of some of our most recent announcements as well as some closing remarks, after which we will open the call for questions. Jim?
Jim Dennedy - President and Chief Executive Officer: Thanks, Janine. Before opening the call to your questions, I’d like to highlight several customer wins and product launches from the past few months and comment further on our strategy and capital discipline. Let me begin by reviewing some of our more notable business wins. In the restaurant segment, we recently announced an agreement with one of our customers with Duff America, a Dallas-based restaurant group to incorporate the Eatec inventory and procurement system as well as the Workforce Management, WMx to enhance efficiency and reduce costs across the 145 Mimi's Café locations. But Duff America has been using Eatec and Workforce Management solutions at 66 la Madeleine Country French Café locations nationwide for sometime. And following their acquisition of Mimi's Café, we were able to grow this relationship across their new business offering. This follows other important wins such as the Crazy Pita and Rainbow Room, which reflect our focus to grow the restaurant vertical around the more full service, table service establishments. Full service restaurants offer considerable opportunity for us to work together with the owners to increase both traffic and profits. Our solutions are uniquely suited to assist the segment and gain maximum leverage from initiatives such as tasting the events, menu makeovers, social media marketing and loyalty cards. In mid-November we announced that Hotel Ella had selected InfoGenesis point of sale system to help finalize the increased efficiency and enhanced guest service at this recently reopened luxury property in the heart of Austin, Texas. This agreement reflects our ongoing focus on the luxury boutique market as well as the relevance and appeal of InfoGenesis point of sale that hotel operators towards wide array of features, high level of functionality, ease of use and ability to quickly modify menus and pricing. Also in November we announced that Akaryn Hospitality Management Services selected the Eatec Inventory and Procurement system along with the InfoGenesis point of sale to improve operations at Thailand’s Aleenta Phuket-Phang Nga Resort and Spa. This luxury beachfront resort, which is currently undergoing a $2 million rent expansion was already using our VisualOne Property Management System. And early in the quarter we announced that BAM Management selected Eatec and InfoGenesis to streamline operations at Monmouth Park Racetrack in Oceanport, New Jersey. The tight integration between Eatec and InfoGenesis was the key driver behind BAM’s desire to choose Agilysys as their solutions partner. They saw clear efficiencies and cost reductions available across the 26 food and beverage outlets at the popular venue. In addition to these important wins, we also added new customer wins in the hotel and resort segments with the Ventura Hotel in South Beach. The first of the Ventura branded properties we have had the opportunity to serve, the beautiful Casa Bella resort on San Diego Island and separately Resorts Royal Bahamian in the Bahamas. As you can see from these examples, our fiscal third quarter saw continued market share gains across both new and existing clients as well as across our key industry segments resorts, hotels, manage foodservice and (indiscernible) casinos. The third quarter was also a busy time for us as we expanded our products and services offering. Earlier this month we announced InfoGenesis Flex, a new mobility solution that offers full point of sale functionality on the Lenovo Thinkpad 2 tablet. InfoGenesis Flex provides a sleek and modern mobile alternative, traditional point of sale installation in outlets with limited space, power or network boards and rounds out our technology offering for food and beverage outlets. This follows the September introduction of our fully featured mobile point of sale application InfoGenesis Mobile at the Global Gaming Expo in Las Vegas as well as the introduction of Insight Mobile Manager and general availability of SWS Direct and above premises procurement solution based on our market leading SWS Inventory and Procurement system. Although we are still early in the sales cycle of our new products, we are encouraged by the traction we are seeing in our customer base evidenced by the expansion of pipeline opportunities around these products. As we have mentioned in the past demand for mobility solutions is a major theme for many of our customers and we see this trend continuing. The ability for our customers to empower their staff to provide faster and more efficient service while improving their interaction with guest has become a critical focus for their business. We believe our customers are looking for more nimble, reliable and value added alternatives to traditional point of sale, property management, work force management and material management offerings. And these types of solutions meet those needs. As we look forward to launching our next generation products starting with property management in our next fiscal year, we took action at the end of the third quarter to strengthen our go to market with the hiring of Michael Buckham-White to the role of Senior Vice President of Sales and Marketing. In this role Michael oversees Agilysys’ effort to strengthen our brand, further establish top leadership within our segment and enable us to implement new sales initiatives that will help us to achieve our goals. He will also have oversight of the development and growth of Agilysys’ partner ecosystem and channel strategy. Looking ahead, we are excited by the progress we continue to make in the development of our next gen products as we bring them from private beta, public beta and then to market. We are currently well underway in the development of our private beta stage and look forward to progressing to a public beta by the end of the third quarter of our fiscal 2015. We anticipate initial revenue from this substantial investment towards the end of fiscal 2015. We are also excited about the healthy dynamics of the overall hospitality industry both at home as well as abroad. The strong pipeline and healthy environment together with our ability to deploy capital in attractive areas, where we can invest and support our growth provide us with great optimism about our future. With that, I will now turn the call over to the operator for questions. John?
Operator: Okay. (Operator Instructions) Okay. So, I do show two questions in the queue. Our first is coming from Brian Kinstlinger from Sidoti. Brian, please go ahead with your question.
Brian Kinstlinger - Sidoti: Thank you. Just start a few high level of revenue I am wondering if there is a seasonal aspect to your business. We saw big sequential downtick from September to December. I think the same thing happened last year as well. Is there something seasonal right now as we just look at your business as a standalone on hospitality?
Janine Seebeck: Sure. Hey, Brian, it’s Janine. I don’t know that we would call it, seasonal I think we talk a little bit about it in the script obviously. We had a couple of deals that happened and come up from time-to-time where our customers request some of the i-Series and other type hardware and that did occur last year and didn’t happen again this year. So that’s really what’s driving it. It’s not part of our core business or what we do, but when someone ask us for we will obviously do it. They happen normally in that fourth or third quarter for us just with the IBM timing, but I wouldn’t necessarily call it seasonal just going to be sometimes they could happen from time-to-time.
Brian Kinstlinger - Sidoti: Now, Janine, you mentioned the growth rate in line or below the 5% to 7% industry rate, does that apply just for fiscal ‘14, are you talking about ‘15 and then is it more than lower remarketed services? Is there something else in there as well, I couldn’t understand if you were saying it was remarketed?
Janine Seebeck: No, I said – yes, it’s definitely just for this year, Brian. Obviously, we have had some big deals that we have been able to close, but just due to the timing and the necessity of the customers of when they take possession with the rev rec rules that’s just going to fallout, so that definitely just applies to this year. Although we haven’t given guidance for next year, we expect obviously to continue to see higher grades of growth going forward.
Brian Kinstlinger - Sidoti: I don’t know, if you were to receive the regular revenue growth that you would have otherwise expected to win for next year to couple with these delayed revenue recognitions, so we see slightly abnormal growth for next year or is that necessary – or is revenue recognition continue to be a problem?
Jim Dennedy: No, Brian, this is Jim. I don’t think revenue recognition is particularly a problem. I think what our investor should expect is that we should continue to grow at a rate that’s slightly better than the market rate of growth in this particular period when you compare year-over-year, in particular, a remarketed product sale. There was an anomalously large deal in the December quarter of fiscal ‘13 and we did have revenue that was up in the December quarter of ‘13 over the September quarter of ‘13 that make year-over-year comparisons just favorable to our current third quarter of ‘14. We try to give indication that absent that if you were to normalize that for the more 4.5ish million of remarketed products that we experienced generally quarter-to-quarter, we would have seen an increased growth year-over-year in ‘14 over ‘13. We expect that trend generally to continue in our core business.
Brian Kinstlinger - Sidoti: Okay. And then can you maybe touch on the tuning what mobile products you announced at the Analyst Day, maybe how many how – what’s the adoption being like maybe a number of clients, what’s the average deal size?
Jim Dennedy: Sure, Brian. With respect to the mobility as we indicated we are still relatively early in the sales cycle. Those products were released at the early part of fiscal – third quarter of our fiscal ‘14. Average deal size has been in the $30,000 to $35,000 range. Most of these have been add-ons to existing implementation. The number of units sold in the third quarter was a little bit in excess of 150 units. We see greater volume in our pipeline. However, some of the prerequisites to enjoy the mobility applications do require an upgrade to your existing InfoGenesis instillation and that upgrade while you move from our prior release to a current release needs to necessarily to occur before you can enjoy the use of our mobility products. So that somewhat retards a more faster adoption, but we do think it’s the appropriate thing in order to move the customers forward in the versioning of our products.
Brian Kinstlinger - Sidoti: Is that upgrading the InfoGenesis part of their maintenance agreement or is that a cost in them?
Jim Dennedy: No, it is – it is part of their maintenance agreement, it is not an additional cost absent maybe some services that they require it for us to do the upgrade versus doing it themselves.
Brian Kinstlinger - Sidoti: Okay. And then what about I think for since you have been at the company, you have talked about cross-selling, you mentioned cleaner comments about doing better on that front, can you talk about today what percentage of your customers have more than one software app versus say last year?
Jim Dennedy: Sure, Brian. In terms of our ability to increase our cross-selling, it is an element that we have been emphasizing since I have joined the business. We are still in that sub one-third or 33% range, but we were able to see a modest growth, sub 5% in the number of customers increasing their use of more than one product in the installed base. And the emphasis in the selling compensation is going to continue to emphasize selling more than one title into our existing installed base.
Brian Kinstlinger - Sidoti: Okay. And then Janine, can you just touch quickly on the restructuring in asset impairment we are seeing while it’s non-recurring about $0.5 million per quarter. I am wondering is that going to continue for a couple of more quarters, is there still something related to the ERP system there as well?
Janine Seebeck: Sure. The restructuring is actually just the timing associated with the charge that we took with the sale of the RSG business and because as employees stayed through the end of the year. Now that the TSA is completed, we are not anticipating anymore cost with that restructuring. The asset impairment was a one-time and that won’t repeat, but the actual intangible asset where you see that amortization that’s going to incur again this quarter through to when we go live on our new ERP in May, so that will be there this year and a little bit into next, but not in just in any other asset charges.
Brian Kinstlinger - Sidoti: Great. Two last questions, the first one what ERP system are you installing?
Janine Seebeck: Sure. We are actually installing NetSuite.
Brian Kinstlinger - Sidoti: Okay. And then the last question I have is with the number of sales people you have and do you think you need to make significant changes meaning additions I guess as a result of (indiscernible) and that’s coming pretty soon?
Jim Dennedy: Brian, that’s a great question. One of the reasons we, towards the middle of the third quarter, went on a search for an executive that could not only unite the missions of sales and marketing at a level below the CEO, but also drive the development of the sales force not only to get more productive around the markets that we are having product today, but also to grow resources anticipation of selling a product that it’s deployment in pricing and business model is somewhat distinct from the way we sell in service today. So from that perspective, there are two initiatives that I think are ongoing in the sales force. One is the continued emphasis and orienting our current sales force of slightly less than 20 people on continuing to cross-sell more products into that existing base that is only using one product from us. Second initiative is to go out and identify additional customers who we should be doing business that aren’t Agilysys customers today. Part of that initiative is not only identifying those folks that can be superior at true business development, but also can talk about and sell multiple business models like a traditional license versus a SaaS while we are going to educate the entire sales force to discuss both business models. So it’s a development and a training aspect as well as adding capacity to the team.
Brian Kinstlinger - Sidoti: Great, thank you guys.
Janine Seebeck: Thanks Brian.
Jim Dennedy: Thank you.
Operator: Thank you. And our next question comes from Robert Moses from RGM Capital. Robert, please go ahead.
Robert Moses - RGM Capital: Good afternoon guys.
Jim Dennedy: Good afternoon.
Robert Moses - RGM Capital: Just a couple of questions from me. So I guess the recurring revenue growth of about 11% and deferred revenue I think was about 10% increase seemed to be pretty good proxies for the health of the business and I think I understand the remarketed side, which is just kind of lumpy and not kind of almost pass through margin. But getting to a question about this revenue recognition is it that, it’s just a much more complex deal and for the accounting for software just causes it to be more ratable or is it just when you can actually start the billing and actually recognize it in total and maybe some more complex on that I am just trying to understand that?
Jim Dennedy: It’s not more complex and it’s a lot simpler than that, Rob. There were two deals that in size amassed to almost $2 million.
Robert Moses - RGM Capital: Okay.
Jim Dennedy: Those two deals whatever required our customers towards the end of the calendar year in December to bring on several hundred and take acceptance of several hundred InfoGenesis systems as well as the other products that they ordered. They simply didn’t have staff around to accept and store all those systems in order to recognize it we need to have shift. So while they were just favorable contract terms with respect to the current accounting period, they are solutions that will be installed within the first half and they will certainly take acceptance of that equipment throughout the rest of this first quarter of the calendar year. So that’s really what drove it. And we look at year-over-year bookings, the bookings equivalency in the third quarter of fiscal ’14 was approximately the same size is the bookings value in the third quarter of 2013. However, when you account for $3.2 million being drop in shipped hardware, you can pull all that stuff in almost immediately and that’s really the difference.
Robert Moses - RGM Capital: Understood and that’s really why you are tweaking if you are thinking about rather than maybe percent of growth something around 5 or whatever it’s more than new ons that really happened in the third quarter more than anything?
Jim Dennedy: Correct.
Robert Moses - RGM Capital: Okay, great, that’s fine. And the second question just relates to kind of the next gen and I think you said basically year out, I mean public beta third quarter and then maybe revenue recognition either March of next year, so call it a year and a quarter, is there anything you are learning either on private beta discussions with customers, industry trends that would lead you to saying the opportunity is actually different than when you started the project either the upside or downside and why you don’t want to give away any information to competitors maybe listening on this call to say any color you could give us in terms of the opportunities that would certainly be helpful?
Jim Dennedy: Sure, Rob, with respect to the opportunity itself, I think the development approach that we are using and the incorporation of our customers into an advisory board around the development team where we meet with them about every six weeks – 6 to 8 weeks to show them the product, show them the progress, take their feedback on both design and functional requirements has led us to gain more confidence in adoption. But I think more importantly with respect to market opportunity their customers suggestion for how we introduce features and capabilities has led us to a market opportunity in the limited services roadside in business traveler property that we did necessarily anticipate would be a market opportunity for us, because that’s not a core segment that we address today. So that encouragement by our advisors to our mostly luxurious or properties and casinos etcetera to identify a development approach and a feature introduction would not only allow them to start using components of the services of this platform sooner, but also introduces us to a new market segment that we haven’t been able to address well in the past, so that’s probably been the best upside surprise to us.
Robert Moses - RGM Capital: That’s great, Jim, I appreciated, thank you.
Jim Dennedy: Yes, sir.
Operator: Okay, thank you sir. (Operator Instructions) And we will take our next question from James Lee from (indiscernible) Capital.
Unidentified Analyst: Hi. Just want to follow-up on the two deals that you guys weren’t able to recognize it, if you had been recognized there is $2 million in, if those two just have been completed at the, I guess at the kind of sales that were shipped, would you have been recognized the entire $2 million in the quarter and therefore the product revenue would have been $2 million higher?
Jim Dennedy: Yes. If we were able to ship those products and our customers would have accepted shipment, which is typical for us. That revenue would have come in or a significant portion of that revenue would have come in, in our third quarter.
Unidentified Analyst: And now those business been shipped this quarter or do you expect them to be shipped this quarter?
Jim Dennedy: We do expect them to ship quarter, yes.
Unidentified Analyst: Okay. Then I want to move on to cash flow, I think you guys gave the guidance for the year operating cash flow breakeven. How should we think about capitalized software, especially for next year? Should we start seeing that number trend down as you start rolling out the product with products already been completed?
Janine Seebeck: So James, yes, I think for next year, I think it’s probably going to stay at levels that we are looking at this year. It will be continuing through some of the development cycles, because obviously we are going out with Phase 1, but there is other things to move us up into different levels or different playing fields within that area. And so for next year I would assume it kind of at similar levels and then we will start to see it come down kind of fiscal 2016.
Unidentified Analyst: Okay. What about operating cash flow? And do you expect to be positive?
Janine Seebeck: Yes, obviously the objective is to continue to stay operating cash flow positive, obviously putting as much of the funds back into the business. So we are not trying to make huge amounts of money down to the bottom line until we get the next gen out, but we will stay positive.
Unidentified Analyst: Okay. Would you have an idea so how much cash you would burn before you start getting breakeven on the cash basis?
Janine Seebeck: That’s about 15.
Unidentified Analyst: 15, okay.
Janine Seebeck: Yes.
Unidentified Analyst: And then on the – you guys have a big exposure to the casino sites we have heard recently that or seeing that some of the casinos are having slowdown in December, have you start seeing that impact to your business?
Jim Dennedy: We have not yet seen that impact on our business, James.
Unidentified Analyst: Okay.
Jim Dennedy: And our booking statistics in both the second and third quarter, our casino segment led the way in terms of overall bookings value relative to the other segments in the business.
Unidentified Analyst: Alright, thank you.
Jim Dennedy: Yes, sir.
Janine Seebeck: Thank you.
Operator: Okay, thank you. And I am showing no further questions in the queue. I would like to turn the conference back to your host for any concluding remarks.
Jim Dennedy - President and Chief Executive Officer: Thank you, John. Thank you for your participation in the call today. I would like to take this opportunity to thank the very talented and dedicated team at Agilysys. My colleagues at Agilysys are the people responsible for our success and they are the foundation for our future. I also want to express my thanks to our customers who entrust us with their business and to our partners who value our integrity. Agilysys is a much stronger company today and our balance sheet, positive operating income and focused strategy make us a compelling partner for our customers an exciting place for our people to practice their craft and an attractive investment for our shareholders. Thank you.
Operator: Okay, ladies and gentlemen, this does conclude your conference. You may now disconnect and have a great day.